Operator: Good morning, and welcome to the Nabors' fourth quarter earnings release conference call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Denny Smith, Senior Vice President of Corporate Development. Please go ahead.
Denny Smith: Good morning, everyone. Thank you for joining Nabors' Fourth Quarter and Full Year 2019 Earnings Conference Call. Today, we will follow our customary format, with Tony Petrello, our Chairman, President and Chief Executive Officer; and William Restrepo, our Chief Financial Officer, providing their perspectives on the quarter's results along with insights into our markets and how we expect Nabors to perform in these markets. In support of these remarks, a slide deck is available both as a download within the webcast and in the Investor Relations section of nabors.com. Instructions for the replay of this call are posted on the website as well. With us today, in addition to Tony, William and myself, are Siggi Meissner, President of our Global Drilling Organization; and other members of the senior management team. Since much of our commentary today will include our forward expectations, they may constitute forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. Such forward-looking statements are subject to certain risks and uncertainties as disclosed by Nabors from time to time in our filings with the Securities and Exchange Commission. As a result of these factors, our actual results may vary materially from those indicated or implied by such forward-looking statements. Also, during the call, we may discuss certain non-GAAP financial measures such as net debt, adjusted operating income, adjusted EBITDA and free cash flow. All references to EBITDA made by either Tony or William during their presentations, whether qualified by the word adjusted or otherwise, mean adjusted EBITDA as that term is defined on our website and in our earnings release. Likewise, unless the context clearly indicates otherwise, reference to cash flow means free cash flow as that non-GAAP measure is defined in our earnings release. We have posted to the Investor Relations section of our website a reconciliation of these non-GAAP financial measures to the most recently comparable GAAP measures. Now, I will turn the call over to Tony to begin.
Tony Petrello: Good morning. Thank you for joining us as we review our results for the fourth quarter and full year 2019. Our remarks will follow the usual format. I will begin with comments on the market, our results and the outlook. William will follow with details and I will then wrap up. Now to the macro. During the fourth quarter, the price of near-month WTI averaged just under $57. This was essentially flat with the third quarter average. During the fourth quarter, the trend in pricing was solidly upward. The quarter began sub $54 and then did above $61. Natural gas prices were essentially flat averaging just over $2.40 per Mcf during the fourth quarter. In the most recent quarterly Dallas Fed Energy Survey, half of E&P respondent reported using WTI in the $53 to $56 range for the 2020 capital planning. Since the beginning of 2020, the price of near month WTI has declined from $61 to $51. Oil prices are reacting to fears of reduced economic growth and crude oil demand in China and elsewhere. These fears have been triggered by the recent coronavirus outbreak in China. The impact to global oil demand is uncertain. The reports estimate consumption in China has declined by as much as 3 million barrels per day. At the same time, OPEC has proposed temporary production cut to mitigate the lower demand. As I anticipated on our prior earnings call, industrywide drilling activity in the Lower 48 declined through the end of the year. This reduction resulted from the combination of limited access to capital as well as investor pressure to generate free cash flow. During the fourth quarter, the average US Lower 48 land industry rig count declined by 97 rigs, and a 11% reduction from the third quarter average. I will have some more thoughts on this when I cover our quarterly customer surveys in a few minutes. For our international markets, the macro picture remains positive. Pricing is improving, activity is increasing. In most markets, the level of oil prices has continued to support incremental activity even after the recent softening. The typical international customer in NOC or IOC is increasingly committed to longer-term development plans. As such, we expect improving conditions across most of our markets to drive incremental rig demand. Fourth quarter adjusted EBITDA of $203 million solidly in line with our expectations held up well, despite the reductions in the US activity. Sequentially, our Canada Drilling Solutions, US offshore and international operations, all recorded improvement. Our Lower 48 average rig count declined by ten rigs. Daily gross margin was essentially flat as somewhat higher average revenue per day was offset by a similar increase in daily operational expenses. In our International segment, adjusted EBITDA increased by about 1% despite a significant reduction in amortizing revenue following recent contract renewal. This improvement reflects better operating performance across several markets. In other segment, Drilling Solutions improved sequentially even as market conditions deteriorated. This marks three quarters of sequential improvement in NDS. Canada results increased with the seasonal lift in drilling activity. Rig Technologies declined as sales of capital equipment tailed off into the end of the year. Now, let me discuss our view of the market in more detail. During the fourth quarter, the industry rig count in the Lower 48 averaged 790 rigs. Last week, the rig count stood at 757, that is down by 17 rigs from the end of the fourth quarter, which stood at 774, a 2% reduction. Over the past 12 months, the rig counts declined by 259 rigs or 26%. For the full year 2019, Nabors' Lower 48 rig count outperformed the industry. Our full year average rig count improved by 1% as the industry rig count dropped by 9%. Our largest peers also experienced significant drops on rig count. This performance validates our positioning in the market. We believe we offer the best combination of rigs, technology, safety and operational excellence. During the fourth quarter, a steep drop in natural gas prices had a dramatic impact on rig counts and pricing in predominantly gas basins. Activity dropped sharply in the Rockies, Haynesville, Mid-Continent and Marcellus. Rather than chasing lower pricing, we decided to stack some of our legacy rigs and move high-spec rigs to other market. Once again, we surveyed our top 20 Lower 48 customers. The surveyed clients account for approximately 41% of the total Lower 48 industry rig count at year-end and 71% of Nabors' rig count. On balance, the participants indicated a flat outlook for 2020. I would remind you that these conclusions are those of this customer group, which may not be representative of the full market. As I mentioned earlier, our Lower 48 rig count has held up quite well in spite of current industry conditions. At this point, our working fleet in the Lower 48 is overwhelmingly high-spec. These rigs comprise 98% of our working rig count. Looking at it another way, rigs working in the predominantly oil basins, Permian, Eagle Ford and Bakken, comprise about 87% of our count. The market for high-spec rigs in the oily plays comprises the strongest segment of the Lower 48. Our solid presence there and strong customer mix explain our high utilization and resilient financial results. Across the industry, high spec rig pricing has moderated somewhat. Contractors have begun adjusting to the recent market trends and the significant pricing disparities between basins. This trend varies a great deal depending on the market. We continue to hold the line on pricing. With our focus on the delivery of value and performance to our customers, we are confident we will retain our leadership position. In our International markets, industry rig activity was stable in 2019. Pricing in these markets is firm with pockets of strength. We have already deployed additional rigs not present in our fourth quarter rig count and should deploy at least one more as we head into the second quarter. We continue to pursue multiple opportunities for additional high-spec rigs in several markets. In the other segments, we see growing interest in our advanced technologies and Drilling Solutions. The adoption of our innovative products and services continues to increase and inquiry levels remain high. Now, let me comment in more detail on our segment highlights. Full year consolidated adjusted EBITDA of $805 million was up 6% versus the prior year. For the fourth quarter, EBITDA of $203 million as we expected was just below the prior quarter. Among our segments, we saw the strongest sequential adjusted EBITDA growth in Canada. Our rig count there grew by almost five rigs or 60% as seasonal demand improved. Drilling Solutions adjusted EBITDA increased sequentially by 6% to $24.8 million. This improvement primarily reflects higher margins than tubular running services. International adjusted EBITDA increased by $1 million to $96.2 million. Improvements in Latin America and the Middle East, drove the growth. These improvements more than offset a reduction in amortizing revenue of approximately $10 million following the expiration and subsequent renewal of number of contracts with material upfront payment. Adjusted EBITDA in US drilling declined by $8 million or 6%. This was mainly due to the 10% reduction in quarterly average rig count in the Lower 48. In Rig Technologies, segment results declined due to lower shipments in Canrig. We achieved some notable highlights during the quarter. First, we took significant steps to improve our debt profile. In December, we amended the revolver and now have covenants more to think with our business. More recently, we raised $1 billion at attractive terms and subsequently tendered for existing notes. With these transactions, we substantially extended our debt maturities. Second, I want to mention the performance of Nabors Drilling Solutions. Certainly, competitors have adopted similar models to compete with our NDS strategy. I believe, we remain the industry leader integrating additional services onto our rigs and in driving the automation of the drilling process. This is demonstrated by the level of profits delivered by our NDS segment and by its continued growth trend. Our TRS value proposition is gaining share with increased profitability as we pursue our integration strategy. We have a robust set of fit for purpose downhole technologies that are still in the early stage of harvesting. And, NDS today has the most extensive and mature performance software suite in the industry. ROCKit, the industry's gold standard for oscillation systems to reduce friction and increased ROP saw its share increase driven by third-party jobs. This asset light segment outperformed both Nabors and the industry's Lower 48 rig count. Segment EBITDA increased, thanks to continued margin improvement in casing running. Penetration of software solutions, notably, Pilot and Navigator also increased. In a declining fourth quarter rig market, we maintained our total Pilot Navigator job count. Third, our daily gross margin in the Lower 48 business was essentially unchanged sequentially in the fourth quarter even as the market deteriorated. For the full year, daily margin in the Lower 48 exceeded $10,000 in each quarter and was up more than $2,000 versus 2018. We continue to maintain pricing discipline, and to realize the value we deliver to customers. Now let me discuss our outlook by segment. US drilling; in US drilling, for the first quarter, we believe our Lower 48 rig count should approximate the current level of activity, or slightly higher. We expect the Lower 48 daily margins to decline by a few hundred dollars per day. Our Alaska activity and results should improve. The US offshore business should be essentially in line with the fourth quarter. International; in the International segment, we expect rig activity to increase by a couple of rigs. We recently deployed two offshore platform rigs in Mexico; one in late December, and one in January. We also placed a large rig works in Kuwait and our Russia rigs will resume activity during the quarter. We expect some incremental downtime in key markets to work on certification and planned maintenance activities. All in, we expect first quarter international adjusted EBITDA of $90 million to $95 million. Drilling Solutions; in Drilling Solutions, we expect first quarter results somewhat below the fourth quarter. The decline in third-party rig count in the US, quarter-over-quarter, and churn of the business is driving most of the expected decline. For the remainder of the year, we expect continued adjusted EBITDA growth, as we harvest the technology portfolio. Rig Technologies; for Rig Technologies, we expect an improvement in adjusted EBITDA as the shipments of equipment in part as well as the volume of services pick up. Annual outlook; for the full year, we are targeting the following. First, we expect to extract increasing value from our existing asset base. This includes the deployment of idle assets and repositioning assets to higher value market. Second, our plan is to accelerate the monetization of our robust technology platform. We are on target to commercialize several impactful projects and expect them to generate revenue during 2020. In addition, the trajectory for our Navigator and Pilot performance tools is steep and we expect them to contribute materially to the segment's revenue and earnings. Third, we target free cash flow generation of $300 million in 2020. During 2020, we expect increased adjusted EBITDA, lower amortizing revenue, reduced capital expenditures and working capital reduction. That concludes my remarks on the fourth quarter results and our outlook. At this point, I usually turn the call over to William for his discussion of the financial results. Before I do that, I would like to make a few remarks about a member of our team. After 102 quarterly earnings seasons at Nabors, just part of a full career Denny Smith has announced his plan to retire in April. Denny joined Nabors in 1992. During his tenure, his contributions have been invaluable to Nabors' operational, financial and corporate development success. Denny's career in the oilfield spans more than 40 years. In the early part of his oilfield tenure, he played a pivotal role in the development of the North Slope of Alaska. While at Nabors, his responsibilities span to Alaska, the international arena and many significant projects. You may not realize this, but most recently, Denny was the chief architect and negotiated for the SANAD joint venture in Saudi Arabia. For me personally, I consider him an industry oracle. Denny is well known to many of you on this call. He is widely considered the dean of Investor Relations in the OFS space. I hope you all appreciate it as I have, his wisdom, his candor and his honestly. He has mentored innumerable successful professionals within Nabors and in the broader industry. Bill Conroy will be assuming the senior role in IR and Corporate Development and has big shoes to fill. Please join me in wishing Denny and Lunet many happy years in a well-earned retirement. You will be remembered and sorely missed. Now, I will turn over the call to William. After his comments, I will follow with some closing remarks.
William Restrepo: Good morning. The net loss from continuing operations attributable to Nabors of $267 million in the fourth quarter represented a loss of $0.77 per share. Results from the quarter included $186 million or $0.53 per share, in impairments and other charges. These charges were primarily related to impairments of goodwill and other assets as well as the writedowns of receivables, reflecting increased political risk and the shutdown of certain countries. The fourth quarter results compared to a loss of $123 million or $0.37 per share in the prior quarter. Results in the third quarter included $23.2 million or $0.06 per share, in exceptional charges related to an income tax settlement in a foreign jurisdiction and after-tax currency losses. Revenue from operations for the fourth quarter was $714 million, a sequential reduction of $44 million or 5.8%. US drilling fell by $18.3 million or 5.9% driven primarily by reduced rig count in the Lower 48. Rig Technologies revenue decreased by $10.5 million reflecting reductions in equipment and parts sales. Our average rig count in the Lower 48 of 97.5 declined by just over ten rigs. Some 1.5 rigs more than we had anticipated. Daily rig revenue in the Lower 48 at 26,455 increased by slightly more than $500. I would like to clarify that our drilling revenue per day includes only revenue strictly related to our drilling rig services business, plus certain reimbursable items rebuild to our customers. It does not include any of our performance software, sometimes called App, it does not include drilling automation revenue and it does not include revenue related to casing running, managed pressure drilling, and BOP testing. All of these are included in the results of our Nabors Drilling Solutions segment. International drilling revenue at $332 million increased by $3.4 million primarily due to improved operational performance across several market. This improvement offset a roughly $10 million reduction in amortization of deferred revenue from advanced payments. The reduction reflects a significant number of contracts that recently concluded and were subsequently renewed by our customers. Canada drilling revenue at $19.4 million increased by $7.2 million. This was driven by the usual seasonal ramp-up in activity going from an average of 7.7 rigs working in the third quarter to 12.3 rigs in the fourth quarter. Drilling Solutions revenue of $60.5 million declined by $1.8 million from the previous quarter. Our international activity increases were more than offset by lower rig count in the US land market. Revenue in our Rig Technologies segment was $10.5 million lower at $52.6 million. The decreased revenue came primarily from lower internal sales of capital equipment, as well as falling spare parts and repairs revenue, driven by the lower US rig count. Adjusted EBITDA for the quarter was $203 million compared to $207 million in the third quarter. As we expected, a reduction in Lower 48 and Canrig activity was largely compensated by improved results in our other segments. US Drilling adjusted EBITDA of $113.1 million was down by 6% sequentially. In the Lower 48, daily margins held steady closing at $10,218. Again, I would like to point out that these margins are pure drilling rig margins without contribution from software, app, trucking between locations, casing running or other sources of revenue sometimes included in the margins of our competitors. We expect daily rig margin to tail off somewhat toward the $10,000 mark in the first quarter driven by market price erosion in certain regions. Our current rig count is 90 in the Lower 48. Rig count for the quarter should average slightly higher than the current level. International adjusted EBITDA increased by almost $1 million to $96.2 million in the fourth quarter. Despite a 0.6 rig reduction to 87.1 average rig. Incremental revenue days in Mexico and Kazakhstan were more than offset by idle time between contracts in Russia, as we moved our operating rigs to a new customer. Nonetheless, our operational uptime in the Middle East was substantially better than the prior quarter and we continue to reduce cost in Latin America. These operational and cost improvements more than offset the roughly $10 million sequential reduction in amortizing revenue and the slightly lower rig count. International daily gross margin increased from approximately $13,700 to $14,100, bolstered by the improvements in cost and uptime performance. We currently expect International Q1 adjusted EBITDA to dip somewhat in the first quarter. We are conducting certification projects in several rigs in the Middle East which will likely result in significant planned downtime. This will be partly offset by start-ups in Mexico and Kuwait as well as increased activity in Russia. Canada, adjusted EBITDA increased by $3.8 million to $5.3 million. The rig count at 12.3 was 4.6 higher and daily margin increased from $3,800 to $5,500. This increase is somewhat better than what we had predicted. Going into Q1, we expect to continue with additional improvements in rig count and margins. The Canadian market continues to surprise to the upside. Drilling Solutions posted adjusted EBITDA of $24.8 million, up from $23.5 million in the third quarter. The adjusted EBITDA margin for this segment increased to 41% from 37.7%. Among product lines, the largest improvement was in tubular running services as our activity continue to shift toward higher margin integrated services. Our other NDS product lines declined modestly in the fourth quarter, driven by the lower US rig count. For the first quarter, we are expecting a reduction in adjusted EBITDA as the Lower 48 drilling activity continues to fall. Rig Technologies reported an adjusted EBITDA loss of $1.6 million in the fourth quarter, $3.7 million below third quarter results. We are expecting some improvement in adjusted EBITDA in Q1 to just above breakeven. For Nabors as a whole, for the first quarter, we would expect adjusted EBITDA in a range of $193 million to $200 million. Now, let me review our liquidity and cash generation. We remain busy during 2019 addressing liquidity and leverage. As last year started, we promised our investors that we would reduce our net debt between $200 million and $250 million. Although the market in the US was not quite what we expected, we reduced net debt by $220 million and closed the year with just under $2.9 billion in net debt. To achieve our goal, we implemented further cuts to our overhead and capital expenditures and we reduced our DSO significantly. In December, we amended our existing 2018 revolving credit facility. Most significantly, this amendment replaced the previous net debt to capitalization covenant with a more suitable covenant to maintain net funded debt at less than 5.5 times EBITDA. We also addressed nearly $1 billion of our near-term debt maturities. In early January, Nabors completed an offering at attractive rate of $600 million of senior notes due in 2026 and another $400 million due in 2028. The proceeds from this offering were used to successfully tender for more than $950 million of senior notes maturing in 2021 and 2023. In the fourth quarter, free cash flow was $232 million. This compares to approximately $82 million in the prior quarter. Our cash generation in the quarter was strong in part due to seasonally low interest payments. In addition, we reduced our capital expenses, and benefited from strong collections. I would point out that almost all of our interest payments come in the first and third quarters. The first quarter cash generation will reflect the interest payments, higher capex, property taxes disbursements for bonuses and other one-time costs associated with the beginning of the year. Capital expenditures of $60.6 million in the fourth quarter, fell by $26.5 million below the level of the preceding quarter. Capex for the full year was $424 million, somewhat higher than our target as we brought forward committed upgrades and certification from contract renewals in Argentina. We are now targeting $350 million to $370 million in capex for 2020. In 2020, we remained focused on generating cash flow while decreasing our leverage. We are targeting free cash flow of $300 million in 2020. We believe this target is achievable as we will reduce our capex significantly, as compared to 2019, and in addition, our amortizing revenue is expected to decrease by $45 million versus 2019. These tailwinds should more than offset any potential increases in working capital. I would also like to thank Denny for his tireless efforts to help us improve Nabors. Denny is one of the best people I know. During my time in Nabors, he has been a teacher and mentor, a source of advice, and most importantly, a friend. I will greatly miss his wisdom, his sense of humor and his support. With that, I will turn the call back to Tony for his concluding remarks.
Tony Petrello: Thank you, William. I will now conclude my remarks this morning with the following. I would like to say that I'm very proud of what our team accomplished during 2019 in a tough industry environment. First, during the past several years, we have transformed our fleet in Lower 48 from predominantly legacy assets to what we believe is the most capable, modern fleet in the market. Our customer base recognizes the quality of our assets, the competency of our crews, our industry-leading operational performance and the value-added for our performance software and our services integration. And, they have rewarded us with increased market share and premium pricing. We believe our utilization of high-spec rigs is the highest of our peers. This has helped us outperform our competitors in this important market. We were the only major land contractor to grow average Lower 48 rig count in 2019. Second, our Nabors Drilling Solutions segment has continued to grow despite the steep drop in Lower 48 rig count. Year-on-year, adjusted EBITDA growth was 34%. Our drilling automation software offerings have made significant strides. The high, margin-low capital intensity software business accounts for a significant portion of our NDS adjusted EBITDA. It contributes strongly to our cash flow. You may find the depth and breadth of our downhole tool portfolio surprising, and it will continue to grow. When we started NDS, we used our rigs to pull through incremental NDS activity. Today, our innovative NDS offerings are also helping us to improve our drilling rig market share. Third, our balanced global presence and diversified offerings have provided us with stability in our results. As our competitors dropped off in the third and fourth quarters, Nabors continued to grow in the third quarter and sustained those levels in the final quarter of the year. Our leading offshore rig position provides a meaningful contribution to our results. Our International NDS in Canada teams have offset the market weakness in the US. In short, we have a diversified set of quality market position, each of which has strong growth drivers. This combination is unique in the space. Finally, the hard work on our leverage and liquidity has started to show results. Amendment to our credit facility in December removed the investor concerns about covenants. In January, we demonstrated our ability to tap capital markets with $1 billion in six- and eight-year notes at attractive rate. This was followed by the redemption of nearly $1 billion of senior notes with relatively nearer term maturities. As a result, we increased our average debt duration to 4.7 years and substantially alleviated the liquidity concerns of our investors. At the same time, we reduced our leverage. net debt decreased by $220 million in 2019. These improvements resulted from increased adjusted EBITDA over the prior year, as well as lower capex, interest expenses, and dividend. Looking forward, I'm excited with what the future has in store for Nabors. Our rig and services portfolio is stronger than ever. We have made enormous progress in our strategy of fleet modernization, international strength, integration of drilling services into the rig, and automation of the drilling rig and the drilling process. Several of our technologies already contribute meaningfully to our results. We are now commercializing a number of our automation initiatives. In addition to continued penetration from our NDS mainstays, we expect our drilling automation software to start moving the needle in 2020. And, with initial deployments in automated rig floors offshore and automated pipe handling on land, we still have gains ahead of us from the robotization of the rig. That concludes my remarks this morning. Thank you for your time and attention. With that, we will take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question comes from Waqar Syed of AltaCorp Capital. Please go ahead.
Waqar Syed: Thank you for taking my call. First of all, Denny, I want to join Tony and William in thanking you for your service to the industry and to your friendship for over the last 20 years. You've really enlightened me, I've learned a lot from you, and I believe that a generation of sell-side analysts have learned from you about the industry. So thank you again. Thank you for your service, and congratulations on your retirement, I hope you're able to take some rest now. Thank you.
Denny Smith: Thank you, Waqar.
Waqar Syed: My question, first of all, Tony, just a clarification, you mentioned that in your rig survey, your customers, half of them said that maybe activity could be flattish. Is it flattish to -- from current levels, is that what you said?
Tony Petrello: From current levels, yes.
Waqar Syed: Okay. I just wanted to clarify that. Secondly, on the capex for 2020. Could you provide some breakdown on how that would shake out between maintenance and growth and maybe the -- domestic versus international, and also what would be the -- how much of that would be within SANAD?
Tony Petrello: Sure. I think about -- roughly about $250 million or so range would be sustaining and the rest growth, and I'd say of the growth capital, most of it would be international, some in NDS and some in Rig Tech. It does not assume a lot for SANAD. I'll let William speak to that.
William Restrepo: Well, of the $250 million that Tony mentioned, really the sustaining capex, which is really ongoing is about $200 million and there is another $40 million or so that comes from renewals of international contracts which vary from year to year, how many of those renewals we have. But we are forecasting about $40 million for next year. And SANAD -- it does have a big piece, which is a facility and which is about $40 million. But outside that, we're still not deploying any of the new builds in Saudi Arabia. So the levels there are not much higher than elsewhere.
Waqar Syed: And when do you expect to start investing into the new builds?
William Restrepo: Well, it all depends on when NOV is ready, I mean we haven't really gotten a good fix on that, but I don't -- wouldn't expect to start investing in 2020 and no deployments be for the end of 2021, I don't believe at this point.
Waqar Syed: Okay. And then just one last question, what is the -- what was the cash in the balance sheet of SANAD at the end of the quarter?
William Restrepo: It's somewhere around $270 million, $280 million somewhere in that range.
Operator: Our next question comes from Chris Voie of Wells Fargo. Please go ahead.
Chris Voie: Good morning. Thanks. I just wanted to check, I think the commentary on NDS was that it should be a little bit lower in the first quarter. Curious if you could give a little more color on that. And then, at what point do you expect it to recover to 4Q level?
Tony Petrello: Sure. Well, about a third of NDS is -- it's focused on third-party rigs and therefore given what's happened with rig count, although we think the offering is gaining traction in the broader market, there is some churn going on and therefore it's going to, it will affect our growth in the -- in the first quarter. But for the year, we do believe we're going to keep going. I think there's a couple of bright spots here. The first one is, the casing running portion of NDS, I think you probably not realized it at this point, but TRS has gained market share in both the Gulf of Mexico and it is now the second biggest international tubular operation going on and we have a strong emphasis on execution and I think our margins are actually best in class when measured against the public people available. So that's really been a good story. As you know, back about a year ago, we had a pause on this because we were waiting to improve our value proposition with integration. We now have it. We're moving more and more of our jobs to the integrated approach away from conventional and that's accounting for some of the margin gain you're seeing, even on the same job count, it's increasing margin. So we think that story is going to continue, because the value of proposition with the customers is compelling. On directional drilling, there the story is also kind of interesting, if you think about the marketplace in general, we actually believe that if you think about the drilling -- directional drilling services, I think it's in a -- in a seismic shift arena right now. I think four or five years now, it's tough to look at anything like it is today. I think what's going to happen is the use of what they should combined which is downhole -- who's going to -- sorry for the interruption. The use of the automation combined with the downhole, I think is making a different value proposition available to the operator. I think also that the historical stronghold that the big four had on directional drilling, both in the US and international is being challenged. If you look at the US, for example, the Big four used to count maybe five years ago for 50% of the Lower 48 MWD market, now it's a -- It's down more than half of that number today. And so, I think the kind of offering that we now have in place is an offering that has substantial growth opportunity. So with all that, I think looking forward throughout the year, I think we're looking at fourth quarter to fourth quarter -- Q4 2019 versus Q4 2020 growth of about 20% or so.
William Restrepo: In the 20%s
Tony Petrello: In the 20%s.
Chris Voie: Okay, that's helpful. Thank you. And then my follow-up. So granted your customer base is suggesting that the rig count might be flattish going forward, you guys have some of the best rigs. Do you expect market share gains and therefore some kind of upward momentum for the second quarter for the US land rig count? I'm just curious to what extent you have any visibility or your thoughts around that?
Tony Petrello: I think what we're saying is, I guess right now in terms of this quarter we'll be about the current level or slightly higher, we do anticipate as we go through the year, our rig count will be higher. We do expect that. Margin improvement will depend of course on the trajectory of any such path. But yes, we do expect that there will be an increase. Just for your information today, when you look at our fleet in terms of basins, there is a wide disparity between oily basins and gas basins. In North Dakota, just to give you an idea, all 25 of our high-spec rigs are busy 100% utilization. In South Texas, 18 -- 17 of 18 rigs are busy. Only -- we only have one of the rig stacked. And in West Texas of our rigs here, we only have one of our ex-rig stacked. So that gives you an idea of the high utilization that we're enjoying. So we think we do have the premier rigs in the marketplace and we think the rigs that are stacked are going to find homes.
William Restrepo: So, I'll make a comment on that also. I think part of what we're trying to do is to balance pricing against market share and in the gas basins, we have decided not to chase market share at any cost and preferred to start moving some equipment to other locations and even stacking some rigs. And by the way, we've also stacked, a lot of our legacy rigs. Those are the ones that have suffered the brunt of our rig count drop. The bigger companies should be stewards of pricing and we're trying to behave responsibly by trying to optimize how much of EBITDA we can squeeze out of the fleet rather than focusing on purely market share.
Operator: Our next question comes from Kurt Hallead of RBC. Please go ahead.
Kurt Hallead: Well, good morning. Denny, going to miss you, Denn. I wish you all the best. You've been a great partner for all this time. So really, really appreciate everything you've done. Thank you.
Denny Smith: Thank you.
Kurt Hallead: Tony, I got a question for you. We're now going on, I guess the fourth year since that great presentation you guys did back in the fall of '16 and kind of outlined this movement toward rig automation and these directional drilling services and the software and apps and so on and maybe if you take a moment to kind of reflect upon the game plan that was laid out back in '16 and kind of where we stand now. You called out -- some of the, some of the things that have gone better than you thought, you might have expected and what maybe been some of the speed bumps along the way?
Tony Petrello: Sure. I appreciate the question. If you go back and at the time in 2016, I think what we've talked about was something without being talked about in the marketplace. I think first of all, it was at that Analyst Day that we actually spoke about the pad-optimal rig, and talked about the special features, the X-rig as well as the new rigs that we are planning in the pipeline. If you remember, the debate back then, we were discussing the view that there was a difference between the walking rig and a skid rig and other people were saying there was no different et cetera, and people are got caught up in that. But you also know that -- at that conference, we identified what everyone now is calling super-spec when we outlined the pad-optimal rig in terms of all the functionality. At the same conference, we said, and it turned out to be -- I guess, warrants that we said, the industry needs a different model to adjust to growing in a market that's going sideways or potentially down and that's why we create the NDS strategy, and the NDS strategy was focused on not bundling services, but integrating them into the rig and that gave rise to or getting into the casing business as well as the directional business and the software business. All three of those, I think today advances at -- what at -- that was a pretty precipitous move on our part, it's worked out reasonably well. I think I'll be disappointed in the progress of the penetration to be honest with you, a lot of operators during the course of the past three or four years they didn't quite understand what we're talking about, our marketing was probably -- if there was one thing that we didn't spend enough time on, it was marketing, the actual solutions. But now, I would say everyone's highly engaged and of course the fact is, other people have joined in this effort. You have all the other large drilling contractors trying to replicate this to some extent, so in some sense, imitation support of a form of flattery. And I think it's all make sure that it is topical, this is where the action is. And I strongly believe that if you look back, the past five years of EBITDA per rig and versus the productivity that the operators got, they obviously got the lion's share of that. And unless you do something like this, you're going to be challenged. So for us it's absolutely business necessity to pursue it. And right now, I'm pretty proud of the portfolio we have obviously were much shorter of the objectives that we laid out back then, I didn't envision, we'd have another two downturns in the past four years, and so we've accomplished this with all -- with downturns in our faces as well. And as I said on the call here, I think the best is yet to come, I think the robotization of rigs is going to be a new era, and I think we have some stuff in the pipeline, pretty exciting, as well as some more digital offerings in the pipeline as well. So we're not stopping, we're pretty enthused by the reaction and hopefully we'll find operators that are willing to join in the effort to make this thing work. To make this work, it's going to require the industry to change its mindset. We'll need more alliance kind of relationships where there's joint investment in these initiatives because the complications of making them successful really require you to alter your workflows, which requires more stickiness between who you choose to work with. And hopefully some of these larger operators will understand that because the untapped potential for them is fantastic, as well as the benefit from the drilling contractor. So that's the way we see it.
William Restrepo: And Kurt, I'll comment on the financial part of it. I think we're very, very happy with the results, up to now. We are very encouraged by what we're seeing today. About 12% of our EBITDA is coming from Nabors Drilling Solutions, right. And we wanted to drive that number to 20% of our total results. And I'll tell you why, because we mentioned the margins at 41%, those are the highest margins we have in our whole portfolio and, but the second thing even more importantly of the $100 million or so that we expect or we had last year about $25 million was the capex, right, so the conversion of that EBITDA into cash flow is huge as compared to a drilling rig business and the margins are much higher. So we think as we move forward into a more NDS world, we are changing the nature of our cash generation and you're seeing it in the results of 2019, and what we expect to see in 2020.
Kurt Hallead: That's great summary. And then maybe for you William on a follow-up, the $300 million of free cash flow target for 2020 I was wondering if you give us some insights as to what kind of net -- what kind of working capital contribution you expect to help drive -- drive that free cash flow?
William Restrepo: So, so I did say at least, right, I didn't say it $300 million, but, yeah, the working capital is helping us, but it's helping us just to stay in place in the sense that we expect to reduce our DSO by about five days during this coming year, which will offset most of the increase in revenue that we expect to see in 2020. So from the working capital, you're not seeing, what you're seeing -- the biggest increases really are from the reduction in capex, which is quite significant, and the second one is the $45 million or so. So we expect to have higher EBITDA in 2020 than in 2019. And of that, higher EBITDA, $45 million reduction in amortizing revenue, so that just goes straight down to the -- to the free cash flow. So those two numbers are pretty significant, if you add them up.
Kurt Hallead: Okay. And then the goal, is it what, reduce debt by that amount of free cash flow?
Tony Petrello: Well, we have some dividends to take account of, so not quite that amount, but I did say at least $300 million. So…
Operator: Our next question comes from Jon Hunter of Cowen. Please go ahead.
Jonathan Hunter: Hey, good morning and Denny, congratulations.
Denny Smith: Thank you.
Jonathan Hunter: So first one I wanted to ask is just on the Lower 48. So you all did a great job outperforming the market in 2019. Your guidance for the first quarter implies a decline a little bit below market and it appears that these drops are mostly from private operators. So I'm wondering how you see things playing out as we move into the second and the third quarter, and if you have visibility to picking up some of that activity that was lost from some of the privates?
William Restrepo: The 2020 is still little premature for visibility. I would say in our core market, we're comfortable with the level and we also have some green shoots to pick up some rigs. So away from -- and that core market that's just the super majors with the large independents, and that's 65% of our count. But yes, you're right, there is some focus now on the other segment, and we're going to probably be redoing our efforts there to attack that as well. One thing that we struggled with a little bit is how much of the impact of the health crisis in China is going to impact oil prices. So a lot of our guidance, you have to take it with that in mind. We thought it would be appropriate to put a little bit wider range in our expectations for the first quarter and that widening was to the downside. Absent that health crisis, I think we would have been more aggressive in our forecast. It's really, it's very difficult at this point to see what the impact of that crisis will be on our results. We do think that, I do think however that I would expect us to land closer to the upper end of the range than to the lower.
Tony Petrello: Yeah, I just would reiterate that. Looking at the whole thing from above, there's really pretty good things going on in all of our segments, International, although we mentioned here that there is some planned downtime, that's just operational. The earnings power of International is in force and we have these rigs coming on and the looking forward, we think these incremental rigs will be margin enhancing as well. So there is good fundamentals there, NDS, we're -- as we said, we're pretty comfortable there offshore, we have a strong position there as well, and even Canada is looking up for next year as well. And you've heard that from other people. So with US, I guess we're a little more cautious, as William said, with all the macro going on, we thought we'd guide a little more cautiously here in light of everything that's happening.
Jonathan Hunter: Understood. And then just a follow-up on the Lower 48 on the margin side guiding down only about $200 a day, I'm curious if you mark the whole fleet to where the market rate is today, how much lower would your margin be and how many quarters would it take to kind of get to that level?
Tony Petrello: I don't really want to get into that, but I wouldn't say there is a big disparity here.
William Restrepo: Between regions.
Tony Petrello: Yeah.
William Restrepo: So today we only have about 13% of our fleet in those affected regions and our strategy has been not to chase and that's why you're seeing some stability in our -- in our margin overall and our EBITDA. And going forward, we don't think it's appropriate to lower significantly our pricing on our fleet. We have seen a lot of stability in places like Bakken, West Texas, South Texas. So, with 87% of our fleet in those markets, we feel pretty good on our -- with our strategy right now.
Jonathan Hunter: Great. Thanks for taking my questions. I will turn it back.
Tony Petrello: Andrea, we're getting close to an hour, if you could just take one more question, please.
Operator: Our next question comes from Sean Meakim of J.P. Morgan. Please go ahead.
Sean Meakim: Thank you. Good morning. So I appreciate the comments with respect to some of the moving pieces on free cash flow. If we're on this call, a year from now, the 4Q '20 call, if you end up coming short on the $300 million or beating it materially, just I'm curious what are the major flex points in either direction that you'd highlight and thinking about in the context of the things that are within your control versus things that are outside of your control.
William Restrepo: I don't think we have time left to answer that question.
Tony Petrello: I think on the free cash flow, obviously the biggest influencer really would be the actual EBITDA that we generate for next year. Now, we are assuming based on what's going on, on our international business and Nabors Drilling Solutions, Canada and some other places that all of that is going to offset whatever happens in the US and -- but that is, that is really, the market is really out of our control, we can mitigate by being smart about our strategy, on pricing and you know, some -- focusing on certain clients and geographies, which is what we've been doing. What we can do, we can cut capex further if we need to. And we can get more aggressive on our DSO collections and some of those issues there. So those are some of the things we can work with, working capital initiatives, more aggressive on selling idle assets. So those are some of the comp -- the compensating issues that we could do. But I think if we exceed the $300 million, we'll just pay down more debt. If we're a bit short, we'll try to compensate with all the items that we mentioned, which again capex reductions, working capital initiatives and so forth.
William Restrepo: Yeah, I would just reiterate that -- the numbers, the targets that we've said, does target a full year of EBITDA above last year's 2019 number and we have confidence in that as a target, and of course everybody in this Company is going to be measured against that this year as well as the free cash flow target that's pretentious speech of information for your information. At the whole thousand SG&A employee base, that's one of the financial metrics for this year, both of those numbers.
Tony Petrello: So three quarters of our incentives for this year are coming from basically cash flow.
William Restrepo: Yeah, cash flow. So, but the point I'd like to make that -- where Nabors is different in this market is, when we look at the composition of our EBITDA, look at your question with having International and the offshore, and even NDS as mainstays that gives a pretty solid foundation base there that unlike what most of our competitors have, and that we think is really distinguishing feature of what we have, because those things don't move as much against a volatile rig count.
Sean Meakim: Well, I think that was pretty specific. So Tony, I think you outperformed your own expectations there. Just the last thing I would say, so just to clarify, when you talk about free cash you're saying cash from operations less cash from investing.
Tony Petrello: That's correct.
Sean Meakim: Do you have an estimate of how much asset sales or other items within CFI that are being baked into that free cash number?
Tony Petrello: We have some somewhere in the range of $40 million. But you know, that happens every year we sell somewhere between $40 million and $60 million of assets that remains stranded, real estate, close facilities. That's pretty much the number that we do every year. So that's obviously part of the calculation.
Tony Petrello: Andrea, if you will go ahead and wind up the call and thank you ladies and gentlemen for participating, and if you have a question or you want to discuss anything, feel free to call us or email us as always. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.